Operator: Good morning, ladies and gentlemen, and welcome to Emera Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Dave Bezanson. Please go ahead.
David Bezanson: Thank you, Jenny, and thank you all for joining us this morning for Emera's Q2 2024 conference call and live webcast. Emera's second quarter earnings release was distributed this morning by a newswire and the financial statements, management's discussion and analysis and the presentation being referenced on this call are available on our website at emera.com. Joining me for this morning's call are Scott Balfour, Emera's President and Chief Executive Officer, Greg Blunden, Emera's Chief Financial Officer and other members of Emera's management team. This morning's discussion will include forward-looking information which is subject to the cautionary statement contained in the supporting slide. Today's discussion and presentation will also include references to non-GAAP financial measures. Please refer to the appendix for definitional information and reconciliations of historical non-GAAP measures to the closest GAAP financial measure. And now I want to turn things over to Scott.
Scott Balfour: Thank you, Dave, and good morning, everyone. Before we get into the results for the quarter, I'd like to spend a few minutes on the significant steps we've taken recently to improve our credit metrics and balance sheet and reposition the company for future growth. In the second quarter, we announced a $500 million US hybrid offering. The sale of our interest in the Labrador-Island link and the securitization of $117 million of unrecovered fuel costs at Nova Scotia Power. Combined, these actions have provided approximately $2 billion in liquidity and have resulted in a reduction of holding company debt for credit rating purposes of approximately $1.3 billion. These actions have significantly improved our holding company debt to total debt metric by approximately 400 basis points to end the quarter at 35%, and they have added 90 basis points to our CFO to debt metric. In June, we followed these actions with the reduction of our dividend growth rate, which, when matched with our 5% to 7% target EPS growth, will lead to a steady improvement in our dividend payout ratio over time. The sale of New Mexico Gas, as announced earlier this week, will further reduce holding company debt, strengthen our balance sheet and more efficiently contribute to funding our capital investments in our high growth markets. The New Mexico Gas sale proceeds will further reduce holding company debt by approximately $1 billion and improve our holding company to debt metric approximately 200 basis points. This transaction will also reduce our requirement for new equity and improve our ratio of cash from operations to debt by 50 basis points. New Mexico Gas has been an important part of Emera since 2016 and we're proud of what we've accomplished with the New Mexico Gas team over the past eight years. We've strengthened the business and its performance and have invested in all parts of the business to expand and maintain a safe, reliable system that will serve customers in the state for decades to come. As I said to employees in New Mexico earlier this week, this announcement comes with mixed emotions for all of us at Emera. But Bernhard Capital Partners clearly recognized what we know at Emera, and that is that New Mexico Gas is a great business with a skilled and dedicated team. We look forward to continuing to work closely with our New Mexico Gas colleagues over the next year along with the team at Bernhard to secure regulatory approval and ensure a smooth transition for New Mexico gas customers and of course, the New Mexico Gas team. Once closed, proceeds from this sale, along with the recent Labrador-Island link transaction, will more than exceed the 15% of our funding plan that we set as a target last year. All these actions, the sale of LIL, the hybrid offering, the FAM securitization, adjusting the dividend growth rate, and finally, the sale of New Mexico gas were part of a very strategic effort to strengthen our balance sheet, improve credit metrics and fund our ambitious capital plan. We've worked with focus and determination over the past eight months to optimize our portfolio and to put ourselves in a stronger position where we can deploy capital in areas where it is most valuable to deliver higher quality earnings and cash flows, creating an even stronger Emera today and into the future. Greg will take us through the results for the quarter, but I want to reiterate that we remain confident in our forward-looking earnings. The comparatively weak start to 2024 does not change our view in the forward earnings growth potential of our business, including the average 5% to 7% medium term growth guidance that we rolled out in June. When we announced our plan to fund part of our capital plan through asset sales last November, we highlighted the significant customer growth and the growing demand for cleaner and more reliable energy. These dynamics continue. Just to touch on a few of the important projects we have underway across the business in Florida. Tampa Electric recently completed advanced gas path combustion turbine upgrades at its Bayside plant, which resulted in 157 megawatts of new capacity and a 3.7% improvement in the station's overall operating efficiency, all for only $87 million. As a result, this facility now has more generation capacity, with lower emission profile and produces energy at a lower cost per megawatt. The team is also making good strides with respect to the South Tampa Resiliency Project, where they're working closely with the team at MacDill Air Force Base to install four reciprocating natural gas fired engines on the base. This project provides the base with the resiliency they need while strengthening the Tampa electric grid and avoiding costly transmission upgrades otherwise needed to serve the fast-growing load in South Tampa. As the people of Florida know all too well, hurricane season is upon us, and Hurricane Debby moved into Western Florida earlier this week. With benefit of its underground system, there was virtually no impact to people's gas system or its customers. And while the storm was not in the direct path of Tampa Electric service territory, there were of course impacts from the severe wind and rain. But the team was able to restore all customers safely and quickly, with all customers fully restored before the end of the day. Further evidence of the value of our investments in resiliency through the storm protection plan. In Nova Scotia, we have a number of transformational projects underway. In June, the regulator approved Nova Scotia Power's 150 megawatt battery energy storage system project. The application sought the approval for collection of $237.7 million required to develop 350 megawatt four hour grid scale battery facilities. The project includes financial support from the federal government's smart renewables and electrification pathways and electricity pre development programs, as well as a financial agreement with the candidate infrastructure bank and the WMA, enabling Nova Scotia's 13 Mi'kmaq communities to make an equity investment in connection with the project while also lowering the cost for customers. These projects will come into service in late 2025 and early 2026. Additionally, Nova Scotia Power's Wreck Cove hydro facility, comprised of two 106 megawatt units, has been undergoing a $102 million major life extension program. To maintain continued operation the life extension work is being staggered, with unit one wrapping up early in September of this year. These units will now operate more efficiently over a wider range, operating down to 30 megawatts compared to a previous 50 megawatt floor. This added flexibility is beneficial as we transition to higher renewable and variable generation sources like wind and solar. This major investment on this extremely valuable asset will extend the life of Wreck Cove by an additional 50 years. Overall, we're on track to deliver our $8.8 billion, three year capital plan. Our utilities are investing in reliability and storm hardening, modernizing our grids and keeping pace with customer growth in Florida and Nova Scotia. So far this year we've invested $1.4 billion in capital, with over 75% of that in the state of Florida. Earlier this quarter, we received unanimous approval from the New Mexico Public Regulation Commission for the rate case settlement agreement at New Mexico Gas. As a reminder, the settlement included a base revenue increase of $30 million US, which will come into effect on October 1 of this year. It also maintained the ROE at 9.375% and capital structure of 52% equity, 48% debt and made the weather normalization adjustment mechanism a regular part of the tariff. You will note from our New Mexico Gas company sale announcement that we and Bernhard have committed to fully respect the future test year that the rate application was based on, which is October 1, 2024 to September 30, 2025, which means, unless otherwise directed by the PRC, the targeted closing date for the transaction will not occur earlier than October 1, 2025. Looking ahead, there are two more important initiatives on the immediate horizon that will be important drivers of growth and de risking. First, in Nova Scotia, the potential securitization of additional deferred fuel costs related to delayed energy deliveries from Muskrat Falls. Both the provincial and federal governments have publicly indicated their focus on this issue and we are optimistic there will be more clarity in the coming months. This is an important affordability initiative for customers in Nova Scotia and would also provide critical assistance in stabilizing Nova Scotia Power's credit rating position. The team at Nova Scotia Power is supporting these efforts in partnership with both governments. Secondly, the team at Tampa Electric continues to advance its rate application, with the regulatory hearing scheduled for the week of August 26 and a final decision due in early November for new rates to be effective January 1, 2025. It's been an incredibly busy and productive quarter and indeed the year so far. I'm more confident than ever that we are taking the right strategic steps to deliver for customers and shareholders. With that, I'll turn it over to Greg to walk us through the highlights of the quarterly and year-to-date results.
Greg Blunden: Thank you, Scott, and good morning, everyone. This morning, we reported second quarter adjusted earnings of $151 million and adjusted earnings per share of $0.53 compared to $162 million and $0.60 in Q2 of 2023. Year-to-date, adjusted earnings were $367 million and adjusted earnings per share was $1.28, compared to $430 million and $1.58 for the same period in 2023. Consistent with Q1, the reduction in adjusted EPS for this quarter was expected. Ongoing higher operating costs resulting largely from higher interest expense have impacted our results. On the positive side, this quarter's results continue to reflect the favorable customer growth in Tampa Electric, Peoples Gas and Nova Scotia Power, and the new rates at Peoples Gas and Tampa Electric. I would like to note that we have excluded the $107 million after tax gain on our sale of our equity interest in the Labrador-Island link from our adjusted earnings for the quarter. This would have otherwise increased adjusted EPS by $0.37. Peoples Gas continues to deliver robust performance driven by the new rates at the beginning of this year that reflect the growth it has experienced over the last three years. This increase was somewhat offset by higher operating costs in New Mexico Gas and as a result the gas segment was up $6 million or $0.03. Tampa Electric delivered strong results with growth of $7 million, or $0.02 over Q2 of 2023, driven primarily by new base rates that went into effect on January 1 and strong customer growth partially offset by higher operating costs. Weather in the quarter was consistent with the very favorable weather experienced in Q2 of 2023 and Tampa Electric will have the opportunity to recover forecasted 2025 operating costs as a outcome of its base rate application previously mentioned by Scott. I would also like to note that Q3 is an important quarter for Tampa Electric, with earnings contributions in the quarter comparable to the first two quarters combined. The weakening Canadian dollar modestly increased earnings contribution from our US operations by $3 million for the quarter. Corporate costs increased by $15 million or $0.06 this quarter, primarily driven by higher interest expense and the unfavorable translation of US dollar, short term debt partially offset by lower corporate taxes, and higher share count decreased adjusted earnings per share by $0.03 in the quarter, largely because of our drip and ATM activity over the past twelve months. Our Canadian utilities earnings were $7 million or $0.02 lower quarter-over-quarter, primarily due to Nova Scotia Power's higher operating cost to support the customer growth we are experiencing and income tax expense partially offset by higher revenue as a result of that customer growth. And lastly, contributions from Amer Energy decreased very modestly by $3 million or $0.01 for the quarter. Year-to-date adjusted earnings per share decreased by $0.30 to $1.28 driven by higher corporate costs, lower contributions from Tampa Electric, Nova Scotia Power, New Mexico Gas and Amer Energy, as well as an increased share count. These were partially offset by increased earnings at Peoples Gas. Higher interest costs, losses on foreign currency, bank balances and higher operating and maintenance costs due to the timing of long-term compensation hedges contributed to the increase in corporate costs year-over-year, partially offset by increased corporate income tax recoveries. The higher share count decreased adjusted earnings per year-to-date earnings by $0.07 compared to 2023. At Tampa Electric, new rates and strong customer growth were offset by higher interest costs and unfavorable weather, resulting in a decrease of $15 million, or $0.06 year-over-year. As a reminder, in the first six months of 2023, Tampa Electric experienced an extraordinarily strong weather driven load compared to historical norms, whereas in the first quarter of this year it was the mildest weather experienced in West Central Florida in 50 years. As we have discussed previously, minimizing regulatory lag, especially in an environment of high interest rates, rising costs and customer growth is an important piece of our overall company strategy. Tampa Electric's rate case continues to progress forward with the final decision expected in early November and new rates effective January 1 of 2025. We continue to be confident that we will receive a constructive outcome that will allow Tampa Electric to recover its higher operating costs and recover on the base rate investments it has been making since 2022. Year-to-date, Emera Energy's results were solid, but they did not compare to the strength of 2023 that benefited from a much stronger natural gas market. Emera Energy is down $13 million or $0.05. However, we continue to expect annual earnings to be within our guidance range of USD 15 million to USD 30 million. Our Canadian utilities earnings were $12 million or $0.04 lower year-to-date, primarily due to Nova Scotia Power's higher operating costs to support the customer growth we are experiencing and income tax, partially offset by higher revenues as a result of customer growth. The weakening Canadian dollar modestly increased the earnings contribution from our U.S. operations by $3 million year-to-date. And on a positive note, the Gas Utilities year-to-date results increased $10 million or $0.04, with the segment benefiting from new rates at Peoples Gas, offset by lower asset management optimization revenues and higher operating costs in New Mexico Gas. Stepping back from the adjusted earnings discussion, we want to turn our focus again to the continued progress we are making towards improving key credit metrics. As Scott discussed earlier in the presentation, the strategic decisions and work completed to date demonstrate our firm commitment to retaining investment-grade ratings. Continued execution of the strategy in support of a stronger balance sheet will position us to return to stable investment-grade ratings in the near future. The previously announced transactions, the sale of the Labrador Island Link, the USD 500 million hybrid offering and the $117 million FAM securitization at Nova Scotia Power provided approximately $1.3 billion of debt reduction. Compared to Q2 2023, these actions have improved our holding company debt to total debt metric by 400 basis points, bringing us to approximately 35%. The announced sale of New Mexico Gas will strengthen our balance sheet in a material way. The equity proceeds will further reduce holding company debt by approximately $1 billion and further improve our holding company to total debt by approximately 200 basis points, while reducing our need for new equity in the future. Year-to-date, our operating cash flow was $1.2 billion, an increase of 7% over the same period in 2023. And on a trailing 12-month basis, our operating cash flow was $2.4 billion. This results in a strong ratio of reported operating cash flow to debt of approximately 12.5% at June 30. This is the ratio of our actual cash flow available to service our debt and meet our obligations. We expect strong reported operating cash flow over the balance of the year. While the collection of fuel deferrals is winding down in Tampa, the potential for the securitization of Nova Scotia Power FAM would accelerate our cash flow growth in the second half of the year, which we would expect to result in a record full year operating cash flows. Of course, our reported cash flow includes net over-recoveries of fuel and storm-related deferrals. We acknowledge that normalizations are appropriate in periods of extreme year-over-year volatility in cash flow linked to commodity prices and storm costs. And we have demonstrated our ability to effectively manage through these periods of high costs. And as of June 30, the deferred fuel and storm cost balances at Tampa Electric, Peoples Gas and New Mexico Gas were immaterial. The Nova Scotia Power FAM balance of $314 million is the only remaining material deferral, and as has been previously discussed, we are pursuing an opportunity to securitize those costs. Looking ahead, we expect our 2024 cash flow to debt metric to be in the range of 11.5% to 12%. And if you adjust these on a pro forma basis for the impact of the sale of New Mexico Gas, the range increases to 12% to 12.5% for Moody's and 11% to 11.5% for S&P. Improvements now and toward -- between now and the end of the year are expected to be driven by a number of factors: the full year impact of new base rates at Peoples Gas; improved cash flow from Tampa Electric, supported by the 2024 GBRA and lower interest costs; lower corporate interest costs due to lower expected rates and lower debt volumes, driven by our asset sales and our continued and normal use of our ATM and DRIP; and lastly, the potential for securitization of additional fuel costs at Nova Scotia Power. We have also made significant headway in our holdco debt to total debt metric, where we ended last year at approximately 40%. We have already improved that by 500 basis points to 35%, or 33% you adjust the June 30 numbers to reflect the impact of the New Mexico Gas sale. We continue to deleverage by making the appropriate capital allocation decisions, whether it is selling assets, issuing equity through the ATM or DRIP, or leaning into the hybrid market when it's available. We have shown that we are focused on doing the right thing for shareholders and creditors alike. Before I turn it back over to Scott, I would like to reiterate that we are confident in our ability to grow our EPS at the pace that we set out back in June. We are already starting to see interest rates subside. And when coupled with our recent debt repayments, we expect our corporate interest expense to be materially lower in the second half of 2024. The growth we are experiencing in our utilities show no signs of abating, which will make it easier for us to make the investments that our utilities require. No doubt there will be periods or weaknesses in some quarters, but our plan is solid, and we continue to work on it. And now, I'll turn it back over to Scott.
Scott Balfour : Thanks, Greg. I'd like to wrap up the call with 2 messages. First, thank you to the team. As you all know, the process to sell part of the portfolio was not easy work, and we concluded 2 processes within a little over 2 months, challenging to say the least. Secondly, as a result of that hard work, we've optimized the portfolio, solidified the business, strengthened the balance sheet, addressed our payout ratio, and ensured our path to achieve or surpass our target credit metrics. I believe that we are now incredibly well positioned, with a competitively strong dividend yield, strong rate base and EPS growth in front of us, and with significant growth opportunities focused in Florida, one of the best regions in North America to own and operate utilities. I'm more confident than ever in our ability to deliver competitively-strong value to our shareholders over the next few years. And with that, I'll turn the call back to Dave.
David Bezanson : Thank you, Scott. This concludes the presentation, and we'd now like to open the call for questions from analysts.
Operator: [Operator Instructions] Your first question is from Rob Hope from Scotiabank. Please ask your question.
Robert Hope: Good morning, everyone. With the New Mexico sale and the LIL sale announced, how do you think about your funding plan in '24 and '25 and '26 versus your prior commentary? And specifically, once New Mexico is closed, could we see the ATM ceased?
Gregory Blunden: Yeah. Good morning, Rob, it's Greg. I'd kind of break it into two pieces. I wouldn't anticipate any material change in our approach to funding over the balance of this year. But certainly, with the incremental sale of New Mexico Gas to complement LIL, that does provide some flexibility in the future. And probably a little bit premature. We'll roll out our funding plan later this year to cover the '25 to '27 periods. But all things being equal, we would expect to have less reliance on the ATM over the coming years.
Robert Hope: Appreciate that. And then, I guess, this is a bit of a two-part question. But where are we in terms of the securitization of the remaining fuel costs in Nova Scotia? And based on your commentary, is it fair to assume that we'll, say, discussions or the relationship with the government in Nova Scotia is moving in the right direction?
Peter Gregg : Rob, it's Peter Gregg from Nova Scotia Power. Thanks for the question. Yes, two-parter. I'd start at the bottom, the last one first. We have a very productive working relationship with the government here in Nova Scotia. We work with them every day on a number of key files. And so, yes, very confident in that strength of that relationship. And on the potential for securitization, not much more I can say than, I think, Scott and Greg already touched on it. But I'd just say, we're having good productive discussions with the federal government and do see the potential for that securitization, as both Scott and Greg mentioned.
Robert Hope: Thank you.
Operator: [Operator Instructions] Your next question is from Maurice Choy from RBC Capital Markets. Please ask your question.
Maurice Choy: Thanks, and good morning, everyone. So, let's come back to Slide 11, where you shared your line of sight to, if not through, the 12% CFO debt threshold, a couple of things on this. For the 11 range, can you help us bridge what gets you this 50 basis points to 12%? And to that as well, I recall in the past, you spoke about improving this metric 50 basis points annually after you've reach 12%. Is that something you still foresee? And are these generally just done through new customer rates? Or are they just transactions you're pondering?
Gregory Blunden: Yes. Maurice, this is Greg. Good morning. Really, we're trying to provide a range because, obviously, there's -- there will be some volatility in cash flow at any particular period of time. So really, the 50 basis point range is intended to reflect that, not tied to any specific action that needs to be taken or anything like that, but just what we would expect to be a kind of a normal volatility in potential cash flow over a period of time. So again, nothing -- all things being equal, think of the midpoint of that with some volatility on the up and down side of it. In terms of once we get to where we want to be, yes, we are still committed to improving our credit metrics every year. I think, as we've said before, we'd like to have at least 100 basis point cushion on our threshold metrics and confident that we'll be able to achieve that over the next year or two.
Maurice Choy: And the pathway to get that 100 basis points cushion, is that generally just mostly customer rates or something else?
Gregory Blunden: Yes. No, just general growth in the business, I think the way to think of it. All of our utilities will be in for rates over the next couple of years. Tampa Electric in, right now, with a fairly significant ask from customers. And so, yes, a lot of it will just be the normal growth from our business that will be supported by rates that are needed for those customer investments that we're making.
Maurice Choy: Understood. And since you pointed out the Tampa Electric rate case, you obviously have seen the settlement at Duke. Your thoughts on whether or not a similar outcome could emerge for you?
Scott Balfour: I've Archie on the line. Archie, would you like to respond to that?
Archibald Collins: Sure, happy to do that. Maurice, I guess, first of all, I would just simply say, we applaud Duke and the interveners to their case for achieving a settlement that all parties felt was fair and balanced. I think your specific question is, does the presence of that settlement increase the likelihood of Tampa Electric achieving a settlement before our litigated hearing dates? And I think the answer to that is no, Maurice. We're always open to a settlement, but at this point, the window is closing rapidly. And we had a pre-hearing yesterday, and all signs right now are pointing towards conducting the litigated hearing the week of the 26th of August.
Maurice Choy: Were there any particular items within this pre-hearing that was a bigger hurdle to meet for both sides that you'd highlight?
Archibald Collins: No, not at all. It was just -- yesterday's pre-hearing was just standard fare, reviewing the open issues, seeing which ones could be resolved prior to the settlement. The relationship we have with the -- in all intervening parties throughout the entire process has been professional, very cordial. And so, yesterday's pre-hearing was consistent with that. It was as expected. We feel -- we obviously feel really good with the case that we've put forward. And again, we're preparing to litigate it here.
Maurice Choy: Thank you. I'd finish up with one final one here. Scott, you mentioned that you reconfirmed a 5% to 7% EPS CAGR, given the NMGC potential sale. But can you also confirm the payout ratio being approximately 80% by '27 that -- given the models that than NMGC?
Archibald Collins: Yes. So, no change to the reference that we made as part of that June announcement, Maurice. So, our expectation is that with delivery of that earnings growth that's in front of us that we should see the payout ratio get very close to that 80% number within the guidance period, and obviously, continued reduction in the years that follow.
Maurice Choy: Thank you very much.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I will now hand the call back to Dave Bezanson for the closing remarks.
David Bezanson : Thank you, Jenny, and thank you all for your interest in Emera. Before wrapping up, please note that our next analyst call will be held on November 8 at 5:00 p.m. Eastern Time. Hope you all enjoy the rest of your summer.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.